Operator: Greetings, and welcome to the National Retail Properties Fourth Quarter 2017 Operating Results. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the call over to Jay Whitehurst, CEO. Please go ahead.
Jay Whitehurst: Thank you, Brenda. Good morning and welcome to the National Retail Properties fourth quarter 2017 earnings release call. Joining me on this call is our Chief Financial Officer, Kevin Habicht. After some opening remarks, I’ll turn the call over to Kevin to discuss our financial results in more detail. 2017 was another very strong year for National Retail Properties in every aspect of our business. We ended the year with core FFO per share growth of 7.2% over 2016 results. As we’ve said many times, our focus is on long-term consistent results, and I’m pleased to report that through year-end 2017, National Retail Properties produced total shareholder returns that exceeded the REIT averages and many major equity indices over the past 3, 5, 10, 15, 20 and 25-year periods respectively. Our broadly diversified portfolio of almost 2,800 single tenant retail properties remains healthy with an occupancy rate of over 99%. Our high lease renewal rate continued in 2017. Over 87% of our expiring leases were renewed by the current tenants at 103% of the expiring rent. Our efforts to re-lease vacant properties was also successful in 2017 as we re-leased 27 properties including all of our former Gander Mountain stores. The rent recovery rate for our 2017 re-leasing was below our long-term average of approximately 70% of prior rent due to the lower recovery rate on the Gander Mountain properties, but we remain very pleased to have quickly leased all of those vacant properties to a strong national tenant for a 20-year term. On the acquisition front, in 2017, we invested $755 million and 276 single tenant retail properties at an initial cash cap rate of slightly over 6.9% and with an average lease duration of almost 19 years. Roughly, 75% of our dollars invested in 2017 were with our portfolio of relationship tenants. We did business with about three dozen relationship tenants in 2017 including 14 relationship tenants with which we did no business in the prior year. As we look ahead to 2018, there are a few key takeaways that I’d like to highlight. First, per share results are what really matter. You’ll never meet a management team more concerned with per share results and less concerned with growth for the sake of growth than the management team at National Retail Properties. REIT headlines are often devoted to the volume of acquisitions in any quarter or year. To us, what matters is consistent, multiyear growth in per share results, while maintaining a conservative balance sheet, not headline growth in our asset base. This approach to creating shareholder value allows us to be highly selective in our acquisitions and positions us to perpetuate our long-term track record of consistent core FFO per share growth with less execution risk and more focus on quality real estate. Second, not all retail is toxic. Our tenants typically operate large, regional and national businesses that focus on customer services, customer experiences, and ecommerce resistant consumer necessities. We had very little exposure to a payroll or other retail concepts that are struggling with ecommerce and getting negative headlines. The primary lines of trade that make up our tenant mix are expanding and adding stores, and our major tenants are playing offense in their respective businesses. Third, not all portfolios are created equal. Our focus is on good real estate locations at reasonable rents. By concentrating our underwriting on these factors, we create an enduring margin of safety that better withstands any turmoil in the general economy or in any tenant’s individual business. During the depth of the recession in 2008 and 2009, our occupancy rate never dipped below 96.4%, and for the last five years our occupancy rate has averaged 98.8%. Lastly and most importantly, our associates make all the difference. The senior management at National Retail Properties averages over 18 years experience and over half of our associates have been with the Company for at least 10 years. The deep experience in real estate expertise of our associates and our culture of putting the shareholders’ interest first, positions us to seize the opportunities and address the challenges that face us daily. Even after 25 years of working with this team, I continue to be impressed and humbled by the talent, hard work and dedication of the associates who give their all for the Company’s shareholders every day. Their high level of professional excellence, commitment to culture and institutional memory is invaluable. Before turning the call over to Kevin, I would like to comment briefly on today’s challenging capital markets environment. While all REITs are currently been affected, very few companies are better positioned than National Retail Properties to confront this more challenging environment. Our strong, low leverage balance sheet gives us great flexibility to issue equity only when we feel the price is right. Moreover, we maintain tremendous capacity on our $900 million line of credit. In addition to our balance sheet strength, we have a deep pool of single tenant properties that can be sold one-off at attractive cap rates to raise capital for accretive reinvestment. And with our conservative dividend payout ratio, we generate significant retained earnings that are also available to be deployed where needed. Our initial cash yield on acquisitions is in the upper 6% range, which is significantly higher than for most property types and our long-term leases typically include rent increases of around 1.5% annually. History tells us that cap rates will adjust upward if interest rates continue to rise; and in the meantime, our relatively high initial yields provide a meaningful cushion. In sum, National Retail Properties well-positioned to weather the current market term oil with our healthy portfolio, our pipeline of selectively underwritten acquisitions, and our conservative fortress like balance sheet. Let me now turn the call over to Kevin for more color on our results.
Kevin Habicht: Thanks, Jay. And let me with the usual cautionary statement that we will make certain statements that may be considered to be forward-looking statements under federal securities laws. The Company’s actual future results may differ significantly from the matters discussed in these forward-looking statements, and we may not release revisions to these forward-looking statements to reflect changes after the statements were made. Factors and risks that could cause actual results to differ materially from expectations are disclosed from time-to-time in greater detail in the Company’s filings with the SEC and in this morning’s press release. With that out of the way. Headlines from this morning’s press release include announcing fourth quarter results of $0.63 per share of core FFO operating results, which represent 5% growth over fourth quarter 2016 results. For the full year, we announced core FFO results of $2.52 per share and that represents a 7.2% increase over 2016 results and was in line with our prior guidance which we had increased throughout 2017. So, we finished 2017 on the higher side of our mid single digit per share multiyear growth range while maintaining a strong and liquid balance sheet and not relying on large amounts of short-term and/or variable floating rate debt. We increased our dividend 4.3% in 2017 which marks the 28th consecutive year of increased dividends, a record held by a fewer than 90 public companies in the U.S. and only three REITs in the United States. We maintained our AFFO dividend payout ratio at 73.2% during 2017. Occupancy ticked up 30 basis points in the fourth quarter to 99.1% at December 31st. We continue to drive additional operating efficiencies with G&A expense decreasing to 5.8% of revenues for the year and as compared to 6.8% for 2016. For purposes of modeling 2018 results, the annual base rent for all leases in place as of December 31, 2017 was $585.3 million. One item I want to note in the fourth quarter was a $4 million charge that we took that is included in the impairment loss and other charges line item on the income statement. In connection with getting full encumbered access to a parcel of land adjacent to one of our retail properties, we needed to settle dispute that cost us $4 million. We are optimistic this will pave the way for unlocking significant value for this property, which we hope to realize in 2018. So, stay tuned. But we are not getting into a lot of details and particulars around this property until then. But, we’re optimistic it’s going to turn out very well. We maintained our previous 2018, guidance, the details of which are on page six of our press release, and that guidance implies 4% to 5% growth in core FFO and AFFO per share results for 2018. During the fourth quarter of 2017, we issued $81 million of common equity via our ATM. Equity rates for the year totaled $253 million. And if you combine this with the 2017 retained AFFO of $102 million that’s after all dividend payments, plus our disposition proceeds of $97 million, we raised $452 million of equity like capital in 2017, and that represents 60% of the $755 million of total acquisition investments we made during the year. During the fourth quarter, we had previously announced that we had recast our bank credit facility, increasing availability from $650 million to $900 million and extending the term to January 2022. Additionally, the borrowing cost base on our current debt rating was reduced modestly to LIBOR plus 87.5 basis points, which I believe is the lowest in our sector. We ended 2017 with $120 million drawn on our bank line. One very important point to note is that for each of the past six years, the weighted average outstanding balance on our bank line for the year was less than $100 million. So, we’ve not been a particularly heavy user of that short-term variable rate capital, despite its availability and attractive pricing. We remain very well-positioned from a liquidity perspective and a leverage position. With the exception of our bank line, all of our outstanding debt is fixed rate. Our balance sheet remains in good position to fund future acquisitions and to weather potential economic and capital market turmoil. Looking briefly at our year-end leverage metrics, net debt to gross book assets was 35.3%, that’s up 80 basis points from year ago 2016 level. As you know, we’ve never managed our balance sheet around market based cap leverage metrics. More notable, net debt to EBITDA was 4.9 times at December 3st for the fourth quarter. Interest coverage was 4.7 times for the fourth quarter of 2017 and the full year 2017. Fixed charge coverage was 3.6 times for the fourth quarter of 2017 and 3.5 times for the full year. Only 5 of our 2,764 properties are encumbered by mortgages totaling only $13 million. In closing, I’ll note, 2017 7.2% increase in core FFO results follow 2016’s 6% growth, and we believe 2018 will be another year of solid growth and operating results per share. When sourcing capital and making capital allocation investment decisions, driving per share results on a multiyear basis is at the forefront of our mind, not volume or size. Growing per share results is job one. Our investment strategy in terms of property type and tenant type and our balance sheet strategy have been very consistent for many years. We’re optimistic we’re going to be able to perpetuate our 28th consecutive year of track record of raising our dividend, which is an important part of outperforming REIT equity indices and general equity market indices over the long term. With that, Brenda, we will open it up to any questions.
Operator: [Operator Instructions] Our first question comes from the line of Nick Joseph with Citigroup. Please go ahead with your questions.
Nick Joseph: Thanks. Jay, you mentioned that historically cap rates will adjust to higher rates. Have you seen that in the market yet, particularly cap rates adjusting up or deal volume pausing?
Jay Whitehurst: We have not seen any change in deal volume. The pipeline still feels very good out there across all of the different lines of trades that make up our portfolio. As it relates to cap rates, from our vantage point, we are not seeing them tick upward yet. If we, as I noted in the comments, start in the high sixes kind of range and for -- at that level of cap rate with the large regional and national operators that we do business with and seek to acquire their properties, we’re just not seeing those cap rates move higher. I think, if you were a buyer of lower cap rate properties, you are going to start to see those trend up sooner. But at the high sixes rate, we are not seeing any movement yet.
Nick Joseph: Given the movement in rates that have already occurred, do you think that cap rates will adjust up from here, do you need to see rates move up even further before they’ll adjust?
Jay Whitehurst: Kevin and I’ve been doing this for 25 years. So, we’ve kind of seen it all before. And it does feel, Nick, like it -- they ought to start moving up soon. But, I’m not completely surprised that they remain flat. There is just a lot of demand out there for our kind of assets.
Kevin Habicht: I mean, if you look at the 10-year treasury as some level of benchmark for these movements, it’s really only been about two months. So, I think, it’s going to take a little bit higher rates and persist at those higher rates before cap rates start to move.
Nick Joseph: And then, just maybe on sources of capital. Do you need to issue equity to acquire the net 450 million of assets or would you be comfortable funding it with debt and free cash flow?
Kevin Habicht: We have debt, free cash flow, and dispositions are options given where our share prices is today. If you kind of pencil through our numbers for the fourth quarter as well as for all of 2017, you can see we were issuing equity around $42 a share; we’re not sellers here today. And the good news is we don’t need to be. And that’s kind of the critical factor. And not only managing the leverage but also managing liquidity in terms of lack of usage of the bank line, which I tried to highlight in my comments. So, we feel very comfortable we can achieve our 4% to 5% per share growth this year without needing to lien on the equity market.
Operator: Our next question comes from the line of Kevin Egan with Morgan Stanley. Please go ahead with your questions.
Kevin Egan: I just had a quick question in terms of the same-store rental income. It looks like on page 13 of the ‘17 supp, you now have these properties and the leases basis. I was just curious, in terms of do you know what that -- what the property basis would have been last year, had you provided it?
Jay Whitehurst: Yes. I don’t have that number to give to you. So, I cannot answer that. But, yes, as you noted, we added to our disclosure there; we have the same store rents for all leases that were not vacant during the year, which showed 1.5% increase and then the same store rent from all properties owned during both periods, so same store rent of 0.4%, which the primary delta between those two numbers being the Gander Mountain bankruptcy. So, backing out the Gander Mountain bankruptcy, same store rents for all properties owned for those periods would have been 1.2%, just for some context.
Kevin Egan: And then, I guess, just a quick question in terms of the sort of disposition. It looks like the vacant property dispositions picked up a little bit this quarter, and I know historically you guys have been pretty reluctant to sell vacancy. So, I’m just curious if you have any color around that?
Kevin Habicht: Yes, we do. I mean, if you look back at our history, we have been reluctant to sell vacancy. So, in 2015, we sold six vacant properties; in 2016, we sold three; this year, that ticked up. Half of what we sold this year -- half of the vacant properties, I should say, we sold this year, are related to the SunTrust. We’ve gone ahead and classified those as vacant. You could maybe debate this, because the reality is we -- we got rent right up to the day we sold them as well as through March 31st. So, SunTrust paid us rent through March 31st of 2018, even if we sold it in December of 2017. We call that vacant. So, about half of those vacancies -- the vacant dispositions you’re seeing are those SunTrust properties that we’re selling that were really still leased at just the second before we sold the property. But that’s driving that result. I think over time, you’ll see that moderate a bit, once we kind of plow through the SunTrust vacant properties.
Jay Whitehurst: Kevin, from a strategic level, there’s no trend here that you should concern yourself with. Job one remains leasing vacant properties. But, once we’ve concluded that the best way to create shareholder value is not through leasing, then, we’re going to look to sell the properties. But, the philosophy here is still very much committed to getting those properties back into income producing status through re-leasing.
Operator: Our next questions come from the line of David Corak with B. Riley. Please proceed with your questions.
David Corak: Just starting with the Gander, Camping World, TI. I understand there is a bit of TI associated with the new rents achieved. So, is this TI just an option that they have for additional rent? Maybe just some color on that piece. And then, were there any changes made to the deals since we were all last together?
Jay Whitehurst: David, hey. There are no changes to the arrangement with Gander Mountain since our last call, or since we talked about it. And your analysis is correct. Our basic -- we took the big rent haircut for an as is lease with Camping World. And that was the deal that we disclosed before, that’s the deal that’s baked into our numbers. Camping World also has an option to draw down some additional proceeds at a very accretive cap rate. We were very happy to provide that option to them. But that adds onto additional rent; it was not part of the as is deal for the original rent haircut. And so, I am hopeful that they’ll take the money; they are very good return for us.
Kevin Habicht: I think, importantly too, the rent was cut sufficiently low on the first round that the incremental rent on any TI dollars they put in, won’t put us in a high risk position we believe of having burdened the property with too much rent. So, I think, it will come out well for both parties.
David Corak: On that topic, I guess, in $585 million ABR number, I guess, the question is, what’s in there related to the 12 former Gander stores? Does that reflect the full 12 stores on a run rate basis? Is that just a portion or is there none in there at all?
Kevin Habicht: They were all leased at year-end. So, it reflects all the base rent that was in there. It does not reflect any -- obviously, any incremental rents from TI funding that may come.
David Corak: And then, Kevin, last one for me. You mentioned on the last call that if things, and I’m quoting here, go precisely as planned, you’d be able to get the high end of ‘17 guidance. Obviously, you still ended within the range and well above the initial range given, but was that impairment charge the only thing not to go to plan in 4Q or is there any other noise in there that’s noteworthy?
Kevin Habicht: That $4 million charge that I mentioned in my prepared comments was the only unusual item in fourth quarter, and that’s 2-plus-cents a share. So, if that had not occurred, we would have been well into that high end of the range, if not above, and we would have hit or exceeded everyone’s estimates. So, that $4 million charge was really the delta. And the way I think about that, and frankly we contemplated it from an accounting standpoint is, we view that $4 million as an investment that we are going to not only recoup but create real value off of. And so, in our minds, we view that as a capital investment that the counting for it unfortunately didn’t allow us to capitalize it and we had to expense it. But, we very much view that as a very good investment, and we will be able to talk about that more hopefully in the coming quarters.
Operator: Our next question comes from the line of Michael Knott with Green Street Advisors. Please go ahead with your questions.
Michael Knott: Just curious, Kevin, it looked like your tenant coverage metrics that you showed were down a little bit versus last year, I think maybe just 0.2 times. Any thoughts on reasons for that or anything related to that?
Kevin Habicht: No, there is nothing really notable in that besides general malaise within retailing. So, we’re not surprised by that. I think, one of the lower covered tenants on the list last year was Gander Mountain. And so, it was helpful to a net uptick to the averages, if you will, but nothing of note in the coverage arena.
Jay Whitehurst: Michael, I would just add, we feel very comfortable and confident with the retailers, the tenants that we are -- that are making up the portfolio right now. In the past, we’ve given folks heads ups about Gander Mountain and other tenants. And right now, there are no major tenants that we want to give folks heads up about that we are doing losing sleep over.
Michael Knott: And then, sort of related to that, any thoughts on the impact of tax reform to help your tenants’ financial condition or liquidity?
Kevin Habicht: Yes. Just generally, I mean, we think it’s going to be helpful. A lot of retailers pay a pretty reasonably high tax rate. So, I think they’ll benefit from that theoretically. Their customers, consumers will have a few more dollars in their pocket. And so, some of that may end up in the retailer stores. And so, definitely a positive to the retailing environment from tax reform. I mean, we’re not putting a lot of stock on how much it will be but it’s the right direction anyway.
Jay Whitehurst: We talk to a lot of our relationship -- the CEOs of our relationship tenants and they would echo what Kevin just said. They’re happy to have the slight positive. It’s not causing anyone to change their mindset on how to structure their capital stack particularly or cause them to do really more or less sale leaseback, but it’s just given them a slight lift otherwise.
Michael Knott: And then, just a couple of quick ones for me. Just on the releasing spreads, obviously, the Gander situation, you had to take a pretty big haircut there with a lot of distress, I guess, I would say, in the big box category nationally. But then, it looked like if you excluded that, your re-leasing to new tenants was otherwise pretty high, I think it’s a 94%. So, just curious, if you could comment on sort of the dichotomy in those numbers?
Jay Whitehurst: I don’t think, there’s much of a trend to pull out either. Our long-term average is 70% recovery, and it’s why we only do our supplement once a year, Michael, really. We think you need a large sample size in order to really come to a conclusion. And we just had a good year, other than Gander Mountain last year, on re-leasing.
Kevin Habicht: Yes. To Jay’s point on sample size, there’s 27 properties in that leased to new tenants, and 12 of those were Gander being released to Camping World. So, there’s really only 15 others in that bucket. So, you can have an outlier or two good or bad; past year, good, that would drive that number higher. But, to Jay’s point, we think about 70% as the long-term average.
Jay Whitehurst: I talked about our -- our people in my opening comments and we handled -- we have leasing folks on staff that are charged with doing this, and that is their day job everyday to do the best they can in that arena. And I like said, 2017, they did a good job; they did a great job.
Kevin Habicht: Yes. And we do want to underline, we do work these assets one at a time, and it’s a lot of work. And even for the example, we’re talking about the $4 million charge and that one property that we think we can create meaningful value on, I don’t want to know how many hundreds of hours of people on the floor that have worked on that, but it will be worth it we believe. And we’re willing to do the roll the sleeves up and plow through and push and to hopefully create value, at least maintain value and sometimes on deals just to salvage some value. And so, we’re willing to do the work at the real estate level to accomplish that.
Michael Knott: And then, just last quick one for me would be just on the cap rate comment. Do you feel like with possibly higher interest rates that there might be even less of a sort of push for competing capital from sophisticated, large capital providers and the private side of things in your industry?
Kevin Habicht: Yes. I think, at the end of the day, we will benefit from a more disciplined market, which will result from higher rates. And so, we can withstand rates drifting higher, better than a number of our other competitors, particularly in the private world. And so, yes, this, at the margin, should be helpful to us over time.
Operator: Our next question comes from the line of John Massocca with Ladenburg Thalmann. Please go ahead with your question.
John Massocca: Good morning, gentlemen.
Jay Whitehurst: Good morning, John. And first, congratulations on your promotion.
John Massocca: Thank you very much. So, kind of first question, Can you give us some more color maybe on the composition of the 4Q ‘17 disposition? What do think drove that 5.7 cap rate, and is that something you think is sustainable over the course of 2018 or is that more of an outlier?
Jay Whitehurst : Yes. John, it was a mix bag of dispositions other than the vacant dispositions that Kevin mentioned and it kind of came from different places in our portfolio. We had a number of properties that were in there that were very highly sought after. So, we had some trade in the very low 4 cap rates. Our disposition philosophy is kind of a barbell. So, we are happy to sell some of the really sought after properties at low cap rates and then to also prune back on properties that we think are non-core or are more likely to -- for the tenant, not to renew down the road at the end of the lease, and happy to sell those at a higher cap rate. And it blended to the high 5s number that you mentioned. I think, that’s worth noting that in our portfolio, we have a great number of properties that are very good fodder for capital recycling for selling in the 5% cap rate range, in the 5 and being able to recycle that capital very accretively into new acquisitions. But, there wasn’t anything otherwise particularly notable about the other dispositions there.
John Massocca: And that 5.7 includes the effects of the vacant assets or is that just the 5.7 on occupied properties you sold?
Jay Whitehurst: Just on the occupied properties.
John Massocca: And then, if equity markets kind of remain depressed, you don’t feel your cost of equity capital is attractive, could you kind of maybe ramp up your disposition volume over the course of the year in order to fund acquisitions or is that something where you just think the market has passed that 80 to $120 million level?
Jay Whitehurst: No, we could most definitely ramp it up, if we feel like that’s the best source of capital to continue our growth.
John Massocca: Makes sense. And then, other kind of side of that, your leverage, sitting here in the high 4s, if equity markets still remained depressed, where do you feel comfortable taking that leverage over the long term?
Kevin Habicht: At the moment, we don’t think we need to move it much at all. I think in the low 5s is probably, we would be comfortable with that. But, that’s not our plan today to get there anytime soon.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Todd Stender with Wells Fargo. Please go ahead with your questions.
Todd Stender: A lot of my cap rate questions have been answered. But, I guess just industry concentration, when we look at your valuation relative to the peers, how you are thinking about anything above 10%, I guess industry concentration? You’ve got convenience stores and full service restaurants, how do you think about that and maybe its impact on the overall Company?
Jay Whitehurst: Todd, let’s work our way kind of down the list a little bit. The convenience store line of trade, I think it’s important to remember that we’ve got almost 600 different convenience store properties in there leased to dozens of tenants in almost all over the country. So, it is a very diversified portfolio of small, well-located assets. The convenience store industry is doing very well, our convenient store tenants are doing very well, and we love the real estate attributes of convenience store real estate. So, while we watch that concentration and pay attention to it and think about it, it is some of the best and safest real estate in our portfolio. And when you’re thinking about concentration, the phrase I’ve used with you and others before is, you want to make sure you’re not guarding the wrong person. You would not want to dilute your best and safest real estate with something with higher risk. But, we do keep an eye on it. As it relates to restaurants, full service and limited service are the next two lines of trade, and again, those are very diversified portfolios. We on our full service restaurant portfolio, we looked very closely at keeping our cost curve property down and our rent for property as low as possible, so that we build in a highlight margin of safety there for the operator. Lower the rent, the easier it is for the operator to succeed and stay at the property and easier it is for us to re-lease it, if something goes wrong. So, we still like the opportunities in all of those top categories, but we’re just going to be very thoughtful about the dollars per property and the real estate attributes in our underwriting for those and for every other line of trade in the portfolio.
Todd Stender: I think, what happens is that the group is so hypersensitive to headlines. And while Amazon is probably not a good example with convenience stores or restaurants, but when people start talking about self-driving cars, you get the headlines I think anybody with that kind of concentration can get hit. So, I think it’s -- like your initial comments that not all retail is bad, I just think we’re very more sensitive, or investors are more sensitive with kneejerk reactions to sell stocks even if it’s triple net leased?
Jay Whitehurst: Yes. The ultimate security for our portfolio is that we have a whole lot of small, well-located corners at reasonable prices with reasonable rents and with good operators. What I think, Todd, what I think it’s lost a little bit in that overreaction that you just described is that people assume that good operators aren’t out there every day, figuring out how to meet their customers’ needs of the future and to compete with Amazon or whomever comes after Amazon. That’s one of the real benefits of our relationship-oriented focus is we get to spend time with lots of CEOs and CFOs and management teams of really good operators who are out there competing all day long, everyday in all of this different lines of trade. And none of them are just saying oh gosh, the future is going to be different than the past, we should just roll over and give up. They are all out there fighting and figuring out how to provide a customer experience, how to get the customer in the door, how to have their business succeed. And convenient corners are very often an important component of how they want to compete.
Todd Stender: And just I guess switching gears towards our modeling for acquisitions. Your guidance calls for volumes that are less than what you acquired last year, and disruptions to the capital markets, so maybe cost of the capital has gone up a little bit. Should we model maybe little more conservatively and backend weight your volumes?
Kevin Habicht: Yes. Our volumes and our guidance were somewhat backend weighted anyway, meeting like 40% first half, 60% second half of the year. But, at the moment, we didn’t feel compelled to change our initial guidance as to where we see things. And you are correct that compared to recent years, the guidance that we’ve come out with is less than what we’ve acquired in each of the last, probably five years, by fairly meaningful amount. And so, we think at the moment that feels -- our 2018 guidance feels good. And most importantly, we feel comfortable with our per share guidance, which is really, at the end of the day what we’re trying to achieve. And so, we don’t feel like we need to change that, but a little bit second half of the year weighted in terms of timing.
Operator: Thank you. This concludes our question-and-answer session. I’d like to turn the floor back to management for closing comments.
Jay Whitehurst: Thank you very much. And we look forward to seeing many of you at the upcoming conferences this spring. Good day.